Operator: Good day everyone and welcome to the Bank of America Second Quarter Earnings announcement. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note today's call is being recorded and it is now my pleasure to turn the conference over to Lee McEntire. Please go ahead.
Lee McEntire: Thank you, Catherine. Good morning. Thank you for joining the call to review our second quarter results. Hopefully you've had a chance to review our earnings release documents. As usual they're available, including the Earnings Presentation that we'll be referring to during the call on our Investor Relations section of the bankofamerica.com website. I'm gonna first turn the call over to our CEO, Brian Moynihan for some opening comments, and then Paul Donofrio, our CFO will cover the details of the quarter.  Before I turn the call over to Brian and Paul, let me just remind you, we may make some forward-looking statements and refer to non-GAAP financial measures during the call regarding various elements of the financial results. Forward-looking statements are based on management's current expectations and assumptions, and they're subject to risks and uncertainties.  Factors that may cause actual results to materially differ from expectations are detailed in our earnings materials, our SEC filings on our website. Information about the non-GAAP financial measures, including reconciliations to U.S. GAAP, can also be found in our earnings materials that are on our website. So with that, let me turn it over to you, Brian. It's all yours.
Brian Moynihan: Good morning. And thank all of you for joining us, and thank you, Lee. Today, Bank of America reported $9.2 billion in after-tax net income, or $1.03 per diluted shares. These results included a few items worth highlighting, and I'm on page 2, ahead of Paul going through the details. First, as asset quality continued to improve and economy continued to recover, we released $2.2 billion of credit reserves established in the first half of last year.  The idea that a Company with our credit quality and other industry participants would be releasing reserves this quarter is not new news. But the reality is at BAC we're seeing credit quality levels that are very strong. Net charge-offs fell to 25 year-low as a percentage of loans, not just raw dollar amount. Let me mention a few items I don't believe were industry-wide expected at BAC. We recorded a $2 billion positive income tax adjustment following last month's enactment of an increase in U.K. corporate income tax rate to 25%.  This required a remeasurement of our deferred tax assets, which just reverses the write-downs from previous years when the tax rates were lower. In addition, our expense level included two things I would note. These add up to about $800 million. With our strong results and the tax benefit, we took the opportunity to pre-fund $500 million to our charitable foundation. This accelerates our planned funding for not only the rest of this year, but the next year as well. This is not new money, just utilizing some of the tax benefit to cover future expense. We also recorded roughly $300 million of expense associated with processing transactional card claims related to state unemployment benefits.  This represents, to a large degree, a catch-up as we move through claim by backlogs. Away from these [values, we] (ph) produced another quarter of solid earnings and showed evidence of good client activity in an economy that continue to recover from the pandemic. Now, as we all know, the healthcare crisis has shown improvement and economy has recovered. Progress on vaccinations along with the continued support of fiscal monetary policy has promoted a full and speedy recovery and return to economic health. We, like others, are reopening our facilities and we're seeing more products being sold by our teammates, in addition to the continued digital engagement at very high level.  Our advisors and bankers and relationship managers are once again, meeting with clients face-to-face, building even much stronger relationships. We're seeing customer demand continue to grow, given the opportunities our companies see. I'll take a minute or two on the economy. And if you go to Slide 3. We have included a few slides highlighting our customer data. Let me get a few highlights. The GDP growth estimates by our BofA Securities research team for the second quarter stand at 10%, and stand at 7% for the full-year 2021.  The re-opening is further driving projections of an economy that has continued to grow at a rate above the pre-pandemic periods into '23. Also, the unemployment rate dropped below 6% this quarter is projected by economists to continue to fall. You'll also note that stability increased consumer spending from our own BAC customers, which is not only much higher than the same periods in 2020, which you would expect, but is notably 22% higher than the first half of '21 compared to 2019. And you can see that [Indiscernible] page. That growth rate '19 was already growing strongly before the pandemic. A few comments regarding the characteristics of spending I think are interesting.  We're halfway through the year and the total payments through those -- through all the different means are $1.8 trillion; that's 60% of last year's level. Last year indeed was a record, even though it was suppressed in various periods when business were shut down. More specifically for the second quarter, the total BAC consumers [and small] (ph) business payments set a fourth quarterly consecutive record, reaching $976 billion up 41% year-over-year, and 23% over '19. The trend has also continued into early July.  Spending consolidated as COVID vaccinations increased, business reopened, and domestic travel increased. Combined spend of retailers and services comprises over 50% of debit and credit card spending a portion of the total spend. That increased 27% over 2019 second quarter, but did slow a bit towards the end of the quarter, as consumer moved their attention and started taking summer leisure trips and activity.  You can see that by noting a return of travel and entertainment spending, which comprised about 10% of debit credit card spend. You can see while recovering travel remains below 2019 spending levels. Putting the travel up a bit, as of mid-June, domestic airline purchases were up 8% over 2019, while international airline purchase on our cards are still down approximately 40%, showing the difference of the progress against the war on the virus in United States versus other places. Now let's go to Slide 4.  We just put this chart in to show you that the consumers are paying their bills. We've shown this each quarter, so you could see that the actual card delinquency levels continue to edge down even as people are out and circulating the economy. Before we go to Paul, I want to comment specifically on 3 areas of interest to you; loan growth, NII, and expense. And we can do that on pages 5 and 6. First on loans. Paul and I are going to show you the average loans.  Paul will show you that later. End-of-period loans, I'll show you in a minute, and long-term trends, which are on page 5. What all these figures point to is accelerating growth during the quarter as we've spoken about on occasion. This quarter, we saw loan levels across most every business move past stabilization begin to make progress. Companies need to build inventory, hire workers to meet the growing customer demand. This virtuous circle of hiring workers and meeting customer spending will help drive the economy and hopefully, will result in more line usage on our loans.  You can see the path on Slide 5 of loans since the pandemic started in March 2020. As you can see, all of them are turning up in recent months. But moving to Slide 6, you see the more traditional detail for our Company. Let's start on the lower right-hand side of that slide. And talking about the commercial portfolio. Commercial loan balances after adjusting for the reductions of PPP loans for Quarter 2 forgiveness grew $15 billion.  This was led by global markets client borrowing activity, but beyond that, and still excluding the PPP loan forgiveness, middle market lending grew and our business banking team finally had growth in the month of June 2021, a first since last March. Fueling some of this improvement is calling effectiveness. Relationship managers have increased their calling efforts; we're now aggressively calling on targeted prospects. And with vaccination progress, face-to-face meetings have nearly doubled each month over the past 90 days.  Commercial loans wealth manager clients grew an impressive 5% in the quarter, as these customers borrow through our custom lending products. In small business, our Practice Solutions Group, which supports medical, dental and veterinary practices, has been building throughout the quarter, and small business production overall is back to pre-pandemic level. Turning to consumer loans, overall growth and end-of-period loans was $6 billion. Car loans grew with increased spending, even as customer payment percentages remained high.  Auto originations have grown fairly consistently, although recently, lower dealer supplies have affected that. Mortgage balance growth, which is a big part of our loan portfolio in consumer, has been a challenge in the low rate environment with high refinancing volumes exceeding originations in past quarters. We are only modestly down this quarter as our origination volumes are finally overcoming the payoffs. We are pleased with the trajectory through the period, and that feeds into the second half of the year. While average loans drive - that loan balances during the third quarter will drive the NII, it's good to start with a trend that has reversed the past quarter's decline.  On NII, the good news is that we correctly called a bottom three quarters ago. We told you that in the three -- that we thought the third quarter of 2020 would be the trough. Despite the volatility, and lower rate moves, and significant decline in loans, we've been able to hold NII at that level, or more, for three straight quarters. We expect it to move higher, and Paul's going to discuss that later. The other area I want to comment on is expense. We saw -- on a reported basis, we saw a $0.5 billion in expense reduction from first quarter of '21 to second quarter of '21. This quarter, we also had around 800 million in notable items for the aforementioned charitable contribution on employment claims process.  Absent those notable items expenses would have been down about a $1 billion in and low $14 billion range. This is the level we are targeting expense as we move through the rest of the year. In the second half of the year as we normalize our operations, we'll continue to return our business to usual, working on process improvements to allow us to reduce our headcount and to continue to fund franchise investments. Headcount in second quarter including -- excluding the summer interns, declined by roughly 2500 or over 1% from the first quarter. So the messages for this quarter are straightforward.  The organic growth machine that we had rolling before the pandemic hit is reemerging as the economy normalizes. We said be careful to ensure that the war on the virus stays [won] (ph), overseeing great returns. In retail preferred and small business, we saw a strong production of core transaction accounts above pre-pandemic level. This quarter was our best net sales growth in checking accounts since the second quarter 2015.  We saw card production about 90% overall pre-pandemic. But net cards of -- net of runoff were positive for the first time since the quarter -- first quarter of 2020 when we entered the pandemic. We saw growth in new Merrill Lynch investment accounts, and Paul will talk to you about that. We saw good mortgage production. We saw stronger digital activity. In wealth management, we saw household growth and strong flows continue to grow, even with use of our banking platform to grow its credit side. In global banking, we saw loan growth and new production coming on while line usage still remains very low.  We saw investment banking close this quarter with record pipelines. In markets, we saw a strong first half, even compared to 2020, and a strong second quarter, albeit with more normal seasonal impact. So normalizing more like '19, but still higher. And we saw headcount come down as operational excellence kicked in by over 2,000 people. We have work to do to keep driving down the core expenses in getting out the net COVID expenses over time. And above all, due to responsible growth, we saw a strong core credit metrics. So as the economy continues to recover, we're seeing organic growth engine kick back in. With that, I'll turn it over to Paul.
Paul Donofrio: Thanks, Brian. Hello, everyone. I'm starting on Slide 7. As I have done in the past few quarters, the majority of my comments -- or excuse me, my comparisons will be relative to the prior quarter rather than year-over-year, given the pandemic. Since Brian already covered a lot of the income statements, I will just add a couple of comments on revenue and returns. Revenue was down 6% from Q1. The decline was driven by lower sales and trading results, that more than offset solid consumer and wealth management revenue, which was a result of higher card income and AUM fees.  It is also worth noting that while investment banking fees were down from a record Q1 level, they remained strong at more than 2 billion in Q2. Lastly, when comparing revenue against the prior year quarter, remember Q2 '20 included a $704 million gain on the sale of some mortgage loans. With respect to returns, our return on tangible common equity was 20% and ROA was 123 basis points, both benefiting from the positive tax adjustment and sizable reserve release. Moving to Slide 8. Balance sheet expanded 60 billion versus Q1, to a little more than 3 trillion in total assets.  The positive growth of 24 billion supported 16 billion of loan growth, while the combination of market-based funding and long-term debt issuance supported expansion of the balance sheet in global markets. Other notable movements in the balance sheet included a continued deployment of excess cash into securities. Securities increased 83 billion while cash declined 66 billion. Driven by the additional deposit growth, our liquidity portfolio remained above 1 trillion or 1/3rd of the balance sheet. Shareholders' equity increased $3 billion, as earnings outpaced capital distribution.  Capital distributions of $5.8 billion were limited to the average of earnings in the previous four quarters per regulatory guidelines, and were well below the $9 billion earned in the quarter. With respect to regulatory ratios, consistent with Q1 standardized remained the binding approach for us and was down a little less than 30 basis points from Q1. While the CET1 ratio declined 30 basis points in Q1, it remained 200 basis points above our minimum requirement of 9.5%, which translates into a $31 billion capital cushion. While book value rose 3 billion, regulatory capital was up 1 billion as the $2 billion tax adjustment did not benefit CET1 capital.  Higher RWA from the liquidity deployed securities, growth in our market's balance sheet, and higher GWIM loan activity, more than offset the benefit to the ratio from higher capital. Our supplementary leverage ratio at quarter-end was 5.9%, dropping from the prior quarter, primarily due to the removal of the regulatory relief. 5.9% versus a minimum requirement of 5% equates to approximately 600 billion of balance sheet capacity, which leaves us plenty of room for growth. Our TLAC ratio remained comfortably above our requirements.  Turning to Slide 9. Brian reviewed ending loan balances earlier, so I will focus on average balances, which are more closely linked to NII. As you look at the year-over-year trends, note that these numbers include PPP loans, which have been moving lower now for 2 quarters driven by forgiveness. You can see the change in those PPP levels on the slide. Focusing on the linked quarter change. While loans on an ending basis were up nicely on an average basis, even with a $3 billion decline in PPP balances, loans were flat.  Wealth management and global markets experienced the most notable improvements. GWIM continued to benefit from security-based lending as well as custom lending, while continuing to have solid mortgage performance. In global markets, we looked for opportunities to lend to clients against a number of different asset types, creating mostly investment-grade exposures as a good use of our liquidity. In consumer, we saw credit card loans stabilize for the first time in more than a year, as credit spending ramped up and new accounts continued to build across the quarters. Quarterly new account levels are nearly back to 2019 level.  With respect to deposits on Slide 10, we continued to see significant growth across the client base, not only because of the growth and the money supply, but also because we added new accounts and attracted increased liquidity from existing customers. I would just note that the link quarter growth on a spot basis included a headwind of about 34 billion from customer income tax outflows. Normally, we see deposits decline in the Second Quarter given tax payments but this year, we saw strong growth even with these tax payments.  Turning to Slide 11, and net interest income. On a GAAP non-FTE basis, NII for Q2 was 10.2 billion -- 10.3 billion on an FTE basis. Net interest income declined a little more than 600 million from Q2 '20 driven by the rate environment and lower loan balances, but showed modest improvement from Q1. The year-over-year comparisons beginning next quarter are expected to improve nicely, as Q3 '20 has proven to be the nadir for NII, and we are expecting NII improvement in Q3 and Q4. Compared to Q1, the benefit of an additional day of interest and liquidity deployed was offset by a lower level of PPP loan forgiveness, the absence of proceeds recorded in NII from the Q1 litigation settlement, and modestly higher premium amortization expense.  The net interest yield declined 7 basis points from Q1, driven by the continued addition of lower-yielding debt securities in Q1 and Q2, and a larger global market balance sheet. Remember, as part of our liquidity that remains, I would include about a $150 billion of debt security, hedged to floating, which earned a bit more than cash. As you will note, given all the deposit growth low rate, our asset sensitivity to rising rates remains significant and mostly unchanged from Q1, highlighting the value of our deposits and customer relationships.  Let me give you a couple of thoughts around NII for the back half of the year. Last quarter, when the forward interest rate environment was 30-40 basis points higher, we told you we were targeting NII roughly 1 billion higher in Q4 of this year. This quarter's loan growth is encouraging and supported with this target, and the slowdown in mortgage prepayments should also help improve NII. So while we still think getting NII $1 billion higher by 4Q is possible, admittedly the recent significant decline in long-end rates presents a challenge. This possibility, of course, assumes loans continue to grow in the Second-half and rates don't move lower from here. To improve our chances, we could decide to deploy additional liquidity at higher fixed rate in the coming weeks and months, as we evaluate the trade-offs between liquidity, capital, and earnings.  Turning to Slide 12 in expenses. Q2 expenses were 15 billion, or 0.5 billion lower than Q1. While lower than Q1, the combination of the $500 million contribution to the foundation and the nearly 300 million increase in costs associated with unemployment claims, processing kept expenses above the low $14 billion target shared with you last quarter. Outside of these two items, expense was lower, driven by the absence of a few Q1 items: seasonal payroll taxes, the real estate impairment charge, and the acceleration expense due to incentive comp award changes.  Additionally, lower incentive comp and severance costs also contributed to the decline. Lastly, our corporate costs saw a modest decline as some pandemic related employee programs began to roll off. But this was mitigated to a certain degree by preparation costs for associates returning to the office. As we go to the segments, I will just note that the sizable foundation contribution was allocated to the lines of business, and therefore negatively impact comparisons to prior quarters.  As we look forward, we continue to invest at a high rate in people and in technology and in new financial centers. We are seeing the benefits of these investments, and now as we move forward, we expect that natural attrition will allow us to reduce headcount as we transition back to a more normal business environment. As Brian mentioned, excluding summer interns, our headcount this quarter, moved down by about 2500 people. Turning to Asset Quality on Slide 13.  Nothing but good news to report here. Net charge-off this quarter fell to 595 million or 27 basis points of average loans. This is the lowest loss rate in more than two decades. That is 28% lower than Q1 and more than 30% below the Second Quarter of 2019. Our credit card loss rate was 2.67, and several loan product categories were in recovery positions this quarter. Provision was 1.6 billion -- was a $1.6 billion net benefit driven by the continued improvement in the macroeconomic outlook, which resulted in the $2.2 billion release of credit reserves, split fairly evenly between consumer and commercial loans.  Our allowance as a percent of loans and leases ended the quarter at 1.55%, which is still well above the 1.27%, which was the level as we begun 2020, following our day 1 adoption of CECL. And as a reminder, the mix of our loans has also changed since CECL day 1. To the extent the economic outlook and remaining uncertainties continue to improve, we expect our reserve levels could move lower.  Okay. On Slide 14, we show the credit quality metrics for both the consumer and commercial portfolios. There are a couple of points I would make here with respect to card losses.  Given the continued low level of late-stage delinquencies in the 180-day pipeline, we would expect card losses to decline again in Q3. For at least the next couple of quarters, I would expect total net charge-offs to moderate around the current level, with lower card losses, partially offset by lower net recoveries and other products. With respect to commercials, metrics, reservable criticized exposure, and NPL, both declined in the quarter.  Turning to the business segments, and starting with consumer on Slide 15. Consumer Banking produced another good quarter with strong customer deposits and investment flows, and the return of card loan growth.  This reflects the strength of our brand, our digital innovations, and the deployment of specialist in our centers, all of which enabled us to capture more than our fair share of the increase in customer liquidity. As Brian said earlier, this was a quarter of reopening where both our high-tech and high-touch capabilities delivered growth in client activity. Given vaccination progress, we've re-opened certain financial centers. More of our associates were at their posts in our financial centers and customer traffic was up.  All of the above drove higher sales in our centers. At the same time, we also saw increased sales through digital channels, which suggest increases in digital engagement are here to stay. The segment earned 3 billion in Q2, 13% higher than Q1 as revenue, expense, and credit costs all showed improvement. Revenue improved 1%, reflecting higher card income on increased purchase volumes and modestly higher account service charges on ATM usage. Expenses moved lower versus Q1, given the absence of the Q1 real estate impairment costs and seasonal higher payroll tax expense.  We also saw some modest improvement in COVID costs, as some of the elevated pandemic related associated costs began to wind down. Our cost of deposits this quarter improved to an impressive 118 basis points. The team has done a great job servicing more and more deposits while maintaining a strong cost discipline aided by digital engagement. Looking back at Q2 '19, we have added 38% more deposits, while expenses have only increased a little more than 3% annually in support of all that new activity, even with COVID.  On Slide 16, you can see the significant increase in consumer deposits and investments. Average deposits of 979 billion are up 55 billion linked-quarter and nearly 170 billion from Q2 '20, with more than 60% of that growth in checking. Rate paid is down 2 basis points, as 56% of the deposits are low-interest checking. We covered loans earlier, but we'll just note that while average loans are down linked-quarter, period end loans are up modestly excluding PPP, as growth in-card balances and vehicle lending outpaced a small decline in mortgages. With respect to investment balances, we reached a new record of 346 billion growing 40% year-over-year as customers continue to recognize the value of our online offering.  On Slide 17 I'll highlight a couple of points regarding the continued improvement in engagement. After crossing 40 million digital users in Q1, we added another quarter million users in Q2. This quarter 70% of our consumer households used some part of our digital platform. We also reached 2.6 billion log-ins from customers in the last 90 days. And while you will note the tremendous Erica and Zelle usage, what I would draw your attention to is the digital sales growth, which is up 26% year-over-year. 85% of booked mortgages in the quarter were done digitally, while 77% of direct vehicle loans were digital.  Turning to Wealth Management. The continued economic reopening and strong market conditions led to records in average deposits, loans, investment balances, and asset management fees in Q2. Both Merrill and the Private Bank contributed to this improvement. Growth in gross new households at Merrill continued and the average size of the new households is larger this year than last year. And at the same time, net new households grew, but at a slower pace given expensive competitive hiring practice across the industry. We remain committed to organic growth in our advisors and private client sales force, as a stronger, more sustainable, long term strategy.  Net income of nearly 1 billion improved 12% from Q1, as we saw improvement in both revenue and expense. With respect to revenue, the record AUM fees complemented higher NII on the back of solid loan and deposit increases. Expenses dropped as the absence of seasonally elevated payroll tax in Q1 was partially offset by higher revenue-related costs. Client balances rose to a record of $3.7 trillion up $725 billion year-over-year, driven by higher market levels, as well as strong client flows.  Let's skip to Slide 20, which highlights our progress to digitally engage wealth management clients. In both Merrill Lynch and the Private Bank, we are focused on 3 pillars for digital engagement: 1, digital adoption and deeper engagement, 2, modernizing our platform for advisors and clients, and 3, secure an easy collaboration with clients.  We've provided stats on Slide 20 that show record levels of digital engagements improved further in Q2. These are some of the highest levels of digital activity across our customers. More and more clients are logging in to easily trade, check balances, and originate loans, all through one simplified sign-off. 70% of checks deposited by the Private Bank clients and more than half of checks from Merrill clients are being deposited digitally now.  And through leveraging Erica-based AI capabilities and through use of WebEx meetings and secure text messaging, we are making it easy and more efficient for clients to do business with us wherever and however they choose. This creates additional capacity for our advisors to spend more time with existing and potential clients. Moving to Global Banking on Slide 21. The business earned $2.4 billion in Q2, improving $251 million for Q1. Strong revenue growth and lower expenses were mitigated by a lower provision benefits in Q1.  Deposit growth maintained or remained strong and increased $20 billion to a new record. Outside of PPP loan forgiveness, we saw modest growth across the platform as discussed earlier. Revenue growth reflected the absence of the prior quarter impairment on some energy investments, as well as increased ESG investments. Revenue also included strong firm-wide IB fees of 2.1 billion, down only modestly from the record Q1 level. This performance resulted in an improvement to a Number 3 ranking in overall fees with a pipeline that remains strong. Strong debt issuance was more than offset by lower equity underwriting fees. We had a provision benefit driven by a reserve release of 834 million in Q2, which was $328 million lower than the Q1 release.  Net charge-offs were near zero, reflecting both low charge-offs and a notable recovery in the quarter. Noninterest expense declined 7% from Q1, reflecting lower compensation partially offset by other costs. We've already covered much of the balance sheet on Slide 22, so let's skip to Digital Trends on Slide 23. We continued our investments in digital solutions that deliver efficiencies for both clients and our employees. The solutions for clients have a compounded effect since they invariably need less manual intervention by the bank, enhancing both efficiency and satisfaction.  Enhanced banking solutions are helping us capture greater market share, as wholesale clients do more with their banking partners -- do more with banking partners that are stable and secure, and that have the capability to invest in new technologies that will provide better data and global integrated solutions. Digitization, and in particular, artificial intelligence, is helping us streamline processes and respond to clients more quickly and efficiently.  As an example, our bankers are using technology powered by Erica to not only better manage credit exposure, but also identify and win new business. We present some wholesale digital highlights on Slide 23. Switching to Global Markets on Slide 24, results reflect solid but lower sales and trading activity as noted earlier. While down from the more elevated pandemic periods, trading revenue is still 10% or so higher from Q2 '19. As I usually do, I will talk about results excluding DVA.  This quarter net DVA was negligible, but the year-ago quarter had a $261 million loss. Global Markets produced 934 million of earnings in Q2, down more than 1.1 billion compared to either Q1 for the year-ago quarter. Focusing on the year-over-year, revenue was down 15%, driven by the reduction in sales and trading. The year-over-year expense increase was driven by higher costs associated with processing unemployment claims and the activity-related sales and trading costs. Compared to Q1 expense, the higher unemployment processing costs were mostly offset by lower compensation. Sales and trading contributed $3.6 billion to revenue, declining 19% year-over-year.  FICC declined 38% while equities improved 33%, recording one of the strongest equity performances in our history. FICC results reflected a much more robust trading environment in the year-ago period, particularly for macro products. Q2 '21 saw credits tightened and agency mortgages endured a difficult trading environment given the volatility breaks. The strength in equities was driven by a strong trading performance in derivatives and increased client activity, notably in derivatives and in Asia.  On Slide 25, we note half-year revenue trends across the last few years. As you can see, while the pandemic elevated results in 2020, 2021 remained well above the prior years presented, driven by continued client activity and volatility in the market. Finally on Slide 26, we show All Other, which reported profit of 1.9 billion. The $2 billion tax adjustment benefit of results. Absent this benefit, we would've reported a $137 million loss, which is a decline of 239 from Q1 '21 driven by lower revenue. Revenue declined $545 million, reflecting two impacts. First, higher partnership losses on ESG -- on increased ESG investments.  As you know, we record grossed up revenue from these investments on an FTE basis in Global Banking, pay the full tax there, and then back out those entries in all other. You can also see the increase in ESG investments in Q2 in other income on our consolidated income statement where partnership losses are booked. While this loss impacts revenue, it is more than made up for on the tax line. We expect our tax credit and associated losses in consolidated other income to increase by at least 100 million in Q3.  And keep in mind, Q4 is normally even higher, reflecting seasonal activity. Revenue in all other was also impacted by some refinancing activity, recalled and refinanced higher-cost structured notes, which puts some AOCI back through the income statement. Our effective tax rate this quarter, excluding the $2 billion tax adjustments, was 10.7%. And further excluding tax credits driven by our portfolio of ESG investments, our tax rate would have been 25%. For the second half of '21, absent any changes in current tax laws or any other unusual items, we expect our effective tax rate to be in the range of 10% to12%. Okay. With that, we're ready to go to Q&A.
Operator: We'll take our first question from Glenn Schorr with Evercore ISI. Your line is open.
Glenn Schorr: Hi, thanks very much. Wondered if we could contextualize your loan growth inflection conversation. I heard you on cards and auto contributing to the modest pickup on period-end loans. So I'm wondering what confidence level you have of that continue in the second half will be card auto or will middle market, M&A, or anything else start contributing and then maybe most importantly, do you think 2022 could be a normal-ish loan growth year, say low to mid single-digits, like you had been running. Thanks.
Brian Moynihan: Hi, Glenn. I think if you look across all the businesses, on an end of period basis, have loan growth, which bodes well. The usage online is still low. And so that is still running in the low 30s, which is about a 1,000 basis points on average lower in the banking segment. But what you see underneath that is that even business banking, which is the segment from 5 million to50 million, is net growing finally, and it was the most affected by the PPP runoff. And the runoff in PPP in the quarter was about $6 billion, $7 billion or something like that. We impulse basically flat average balances, that included. We overcame that.  So we feel good as you look across the things. So what you really see is your net card production back to pre-pandemic, you see gross card production basically about 90% of pre-pandemic. You see autos, which will pick back up as inventories become available. And the real driver on the consumer side is mortgages. We've basically been holding our own right now. And that was different than, frankly, on the refi side, we lost some balances through the last several quarters. And on the commercial side, it's really line usage, honestly can't go any lower. Maybe can, but theoretically you can't because it's been stuck here for a good four or five quarters with the activity.  But the auto dealer line usage, which is net side the house, for example, is very low than it traditionally is. So we expect those to pick back up, but the key is we're actually producing more customers and more clients even at a low usage and the loans are starting to grow.
Glenn Schorr: Sounds like we got a shot. Thanks.
Brian Moynihan: Yup.
Glenn Schorr: Maybe a very similar question on expenses and then I'll be done. You noted that there's some COVID expenses still in there. But excluding the two one-time as you've called out, we're still in the low 14s. It sounds like low 57 billion range for the year is okay. Should -- we've been asking this question every year, any one of us have. Should '22 to be materially different than '21, given how you're able to fund a lot of the investments internally?
Paul Donofrio: So Glenn, this is Paul. We're not providing specific '22 expense outlook, but I will offer the following thoughts which I think answer your question. So our rough estimate for the fourth quarter expense is a range of low $14 billion. I think if you add to that the seasonal higher payroll tax, approximately $350 million in Q1, plus add in 1% inflationary costs that we've talked about now for many quarters. Remember, if we do nothing, cost would grow by 3% or 4%, but we're driving that lower every year and quarter through OpEx, [SIM] (ph) and other initiatives.  But if you take the 4Q expense, you have the higher seasonal payroll tax, at 1%, that's a good base, I think. And then from there, adjust based upon whatever assumption you want to make around higher revenue expectations in areas that are closely linked to compensation exchange fees. I think if you do that math, you'll have a pretty good number.
Glenn Schorr: Thank you Paul, appreciate it.
Operator: We'll take our next question from Matt O'Connor with Deutsche Bank. Your line is open.
Matthew O'Connor: Good morning. I know in recent quarters I've been asking about just a thought process on how you deploy liquidity in securities, and look, it's been the right call because you were buying what felt like low rates. But rates have gone down again. But I just want to circle back on, what is the thought process you had alluded to, potentially deploying more liquidity in the coming weeks.  And I guess just step back and it seems like your loans are starting to grow, deposit growth starting to flow. And again, you know, rates have ticked down again. So why lock in, kind of 10-year duration at these levels, with that as a backdrop?
Brian Moynihan: Matt, I'll let Paul hit it more specifically. But one of the things that we just have to always keep minding, and you've touched on, is that deposits have crossed $1.9 trillion and the loans are 900 and change. And that difference has got to be put to work. And the route is we generate $80 billion deposit growth. And we got to put it to work, and that's what we do.  And so we're not timing the a market of betting or in a way, we just sort of deploy when we're sure it's really going to be there. And so -- and that's been our strategy. And yes, we put them to work and it turned out to be, in the aftermath, a good thing. And I think frankly, I'd rather have a higher rate structure if that is a long-term earning for the Company, but I'll let Paul talk about redeploying.
Paul Donofrio: Yeah. I don't know what specifics you're looking for, but I would echo some of Brian's comments. I think we've been very balanced. We -- if you look at the results compared to other banks, we've maintained our NII for the last few quarters here.  We called the bottom in the third quarter. But at the same time we were doing that, we still are reserving significant liquidity. We have a lot of dry powder as we sit here today, and more deposits are coming.
Matthew O'Connor: Should we just think about it loans plus securities will basically equal deposits? So if the loan growth is modest, you keep growing deposits, [Indiscernible] in the security is regardless of rates?
Brian Moynihan: Yes. They got to take out. We do have to keep straight cash, obviously, that we showed you. But that's generally the way to think about it. And the debate is, do you remember, we hedged a lot of the stuff that we bought just to protect ourselves a little bit.  But that's the simple way to think about it. In the bank side balance sheet that's a simple way to about, but obviously the securities firms different.
Paul Donofrio: I'll Just reiterate. Like you said, we're going to get deposits. It's going to fund loan growth. Whatever's left over will probably go in securities, but then we still have a bunch of excess liquidity. So that can be deployed as well, either in the near-term or long-term, depending on how we balance liquidity against capital and earnings.
Brian Moynihan: Actually going back to Glenn's question, Matt. One thing is we can't take advantage of is, our extreme efficiency in the consumer business with the rate structure. And so I think they got down and are – they are pushing towards a 100 -- 120 basis points of deposits because of the growing core-checking customers at a more rapid pace than we've grown in a while.  So consistently quarter-after-quarter-after-quarter, that's going to stick to our rifts if you don't pay anything for it. And as rates rise, it will drive the efficiency. But we just haven't had a chance to take advantage of it, frankly because of the rate spike.
Matthew O'Connor: Okay, got it. That's helpful. Thank you.
Operator: We'll take our next question from Mike Mayo with Wells Fargo. Please go ahead.
Michael Mayo: Hi. I'm stuck on slide 17 with the digital usage. So I guess you have a record number of digital users, 70%, you highlighted digital sales of 26% year-over-year. Where aspirationally do you want that to go and what can be the impact on headcount and expenses?  And it's the same question I asked before, you have best -in-class digital cost of deposits and the consumer is the lowest in the industry, but doesn't translate to the overall firm. So I'm just trying to connect the dots from your great digital usage to better efficiency and also get some sense of your aspirations on the digital side.
Brian Moynihan: So Mike, to answer this last question. It's sort of that question, which is the consumer side doesn't get the advantage until you get the summary structure on the short end, especially. And so all that investment though, it'd be like we're having the same conversation we had in '16, before rates rose and when's this going to pay off and then it exploded and paid off. And we expect that to happen again as the economy normalizes. And we are taking good advantage of that as you well know, prior to the pandemic.  And so, let me back up on digital products and usage. The key strategies we've been engaged on is beyond a consumer and Paul hit some of the wealth management pieces, you can see them. And so when we're talking about the digital things, we're actually showing it by each segment; for the growth and the wealth management cycle for external usage i.e. customers and internal, is extremely important in using Erica internally as a method of artificial intelligence-based natural language processing that helps to make people more efficient in the commercial segment wealth management.  So we don't have -- our aspiration is just to follow and push the clients at the same time. And that always has a benefit, and that's why over the last decade, we're down 40,000 people in the retail network, to give you a sense and -- of where it goes. We have some internal plans, we have an idea, but we are -- we don't go out and say that because frankly, it happens piece by piece by piece. And honestly at $2500 -- 2500 FTE reduction in the quarter, is in part due to the consumer efficiencies kicking back in once they got through PPP process and things like that.
Paul Donofrio: And that reduction of headcount you ought to also factor in the increase in headcount at the front office. So we're getting a reduction overall. If you go back pre-pandemic or if you look at this quarter, but at the same time you're seeing a mix shift. We're adding more people out there talking to customers across the platform and we have less people in support in the back-office.
Michael Mayo: Okay. Just one follow-up on that aspirational question. When you stripped out and you don't normalize everything, rates and everything else you want to do, how much more do you think you can lower unit cost over the next several years, and what would be the main technology driver for that?
Brian Moynihan: Ther are basically 3 ways. One, that it's all going to show up in headcount, and so we expect that the consumer cost of deposit is gone from 350 basis points probably 10, 12 years ago, to 120. And so we'd expect to keep driving that down, and that's going to be driven by everything we just talked about.  When you get to revenue-related compensation of wealth management business, that's up $0.5 billion from this quarter '19 probably or something like that. And that's a good thing because we make money, but that will be more driven by its production capabilities and things like that. There's basically buildings and how many do you need and how many people -- that's driven by how many people and how much you pay our teammates, who are talented and drive the business.  That's driven by how many people, and we just had a -- we had been working our way down in headcount and it then froze because of all the work we had to do around the pandemic-related programs. But now, it's dropped by 1% in the quarter, and that's where -- that's where it pays back.
Michael Mayo: Great. Alright. Thank you.
Operator: Our next question is from Betsy Graseck with Morgan Stanley. Your line is open
Brian Moynihan: Good morning, Betsy.
Betsy Graseck: Hi, good morning. Great slide on Slide 5. Really love it. Thanks for all the detail. I just wanted to dig in on card a little bit. There has been some discussion around how spend is up a lot, as you indicated as well. And how much of that spend is likely to be translating into revolving versus transactor.  You're giving us the daily, clearly, we can see that here on the slide, but it would be helpful to understand what you're seeing in the guts of the machine. And has it revolved or started to pick up, or does this loan growth that you've show on the slide reflect just the increased spend in transactor paydown rates are similar to what they've been over the past few months?
Brian Moynihan: So the revolver piece is starting to move forward, but it is down obviously significant pre-pandemic. The transactor piece is higher. Well you want people to use the card to get revenue and you saw that in the fee line to get revenue from the usage and also get revenue from the loans. The loans are obviously the better part of the equation, but Betsy you have to realize, we have about round numbers, same number of cards outstanding.  There's $25 billion less balances, which people didn't get any different. They just have more cash. And so they paid off the credit cards, which is a completely responsible thing for them to do. And when they can get out and spend more money, which is starting to happen, I think you'll see them use these [Indiscernible] short-term purchase.  So I don't think -- yeah, the pay rate is up, but I don't think it's a fundamental difference of behavior, it's just the opportunity to use the cards or activity has been limited coming into this quarter when we finally saw things open. We'll see where it goes, but it's -- the good news is it's going a different direction, and had been leading up an entry point about Slide 5.  And the good news is the people are high credit quality, so that means that the nettage fee risk-adjusted margin, i.e, that margin from cards minus the charge-offs, is actually closer than what people think because the card charge-offs are dropped by 300 million to 400 million a quarter.
Betsy Graseck: Okay, Brian. That's -- yeah. No, that's great. That leads into the followup, which is relating to your reserve ratio on card. I think the way we're calculating is around 8.5% or 8.8% at this stage. Give us a sense as to how you're thinking about that trajectory here, given that the environment has been improving, what should we expect on reserves going forward?
Brian Moynihan: Go ahead, Paul.
Paul Donofrio: I'll answer the question this way. If you go to CECL day 1, I think it was 6 point something, right? 6.98. So that gives you a sense of a different environment with a different sort of economic outlook at that moment. Obviously, as we grow loans, card loans, which we're talking about doing, it's gonna eat into some of that excess reserve.  But I think between whatever you wanna model on loan growth and whatever you wanna think about in terms of getting back to CECL day 1, you could kinda come up with whatever -- with an answer.
Betsy Graseck: Right. And could you even be below CECL Day 1 because the environment is so good right now?
Paul Donofrio: You could easily be below CECL Day 1. I mean, as you know, it just depends at the moment you are setting your reserve, what your mix is, what are your card balances and what is your view of the future. And our view of the future is a more benign environment than it was in CECL Day 1, then by definition, you'd end up with lower reserves.
Brian Moynihan: And that's the point of page 6, Betsy, really goes to your question on card specifically.
Betsy Graseck: Okay. Thanks very much.
Operator: Our next question comes from Steven Chubak with Wolfe Research. Please go ahead.
Steven Chubak: Hi. Good morning.
Paul Donofrio: Morning, Steven.
Steven Chubak: So Paul, it was certainly encouraging to hear that there's still a path to the $1 billion improvement in that NII exit rate that you cited, just giving some of the long-end pressures since you gave that guidance. I was hoping you could just help us unpack some of the component pieces, given it's a meaningful step-up versus what we saw in the most recent quarter.  And maybe just thinking about it in 3 buckets: loan growth, liquidity deployment, and premium [ML] (ph) being the third. Assuming no change in the forward, like, how can we underwrite that path to the $1 billion increase off the current base?
Paul Donofrio: So I would say that it's -- it's about half loan growth. Well, first back out, we have an extra day. Okay. Back that out, and as we sit here today, it will be roughly half loan growth and half premium [ML] (ph) reduction. Having said that, it's a challenge given that the fact the rates have fallen, it's a challenge. It's hard to get there. And so we've always had the opportunity to deploy a little more liquidity as we think about this going forward.
Steven Chubak: Understood. At least the premium amount ultimately will come. It's just a question of timing there, so. But I understand that that could at least impact where it shakes out by the end of the year. The other thing I wanted to get a better sense of, Paul, is just on the capital comments that you made earlier.  You noted that you're at 11.5%, 200 bps above your minimum. Just curious if you can give us some sense as to where you plan on operating on a steady-state basis, how much cushion you want to retain. And just given the strength of your excess capital position, how should we be thinking about the pace or cadence of the buyback for the next 4 quarters?
Brian Moynihan: Obviously, we're allowed to do it, so that's the change, and at a level that allows us to move capital off the balance sheets that are constrained by the average of earnings which was through this quarter, so it will move up. But I think we try to operate 50 basis points above the minimum [Indiscernible] that target because there's volatility, so [RSR] (ph) of 5.9. We've got 90 basis points of cushion and we want to operate 50 basis points there, the 9.5 to 10, etc.  You should expect us not immediately to be moving towards that over time. And then as this goes through the periods, the question will be what's the ultimate G-SIB level that we have to maintain in the future and things like that. But we're -- we can move at pace now. And we couldn't before because we were -- it was constraint to your dividend plus your buybacks could only equal your earnings.  And we're a company that went into this crisis with a lot more excess capital, and we are a company that came out of this crisis with a lot more excess capital. And there are three CCAR exams during this crisis as we had the lowest losses and stayed below the 250 SCP. So off we go. But as you know, the constraints, you gotta go the lowest constraints, and add 50 basis points and you should expect us to stay above that. But right now, that's a lot [Indiscernible].
Steven Chubak: If I could just squeeze in one more, sorry, just gotten a bunch of questions on the global market's loan growth, which is a pretty eye-popping number. And I was hoping you can just unpack the opportunity that you're seeing within that segment, and whether there's further runway for continued growth just given how significant of an uptick we saw in the most recent quarter?
Paul Donofrio: Yeah, sure. We did that activity, the loan growth was led by global markets. But we did see it across the platform, including in the market in other areas. In global markets, we just look for opportunities to use some of our liquidity in a more constructive way than maybe buying more securities.  And it was across a number of different types of opportunities and clients, but about I would say $6 billion-ish of it went into our decision to hold some CLOs in loan form. Now we concentrated those holding in AAA and AA tranches instead of distributing the securities to investors. And we think that activity is very consistent with our plans to allocate more balance sheet to customers in global markets.  Having said all that, [Indiscernible] people concentrate on CLO exposure, our CLO exposure is still extremely low relative to our peers.
Steven Chubak: Fair enough. Thanks for accommodating the additional question.
Operator: Our next question is from Ken Usdin with Jefferies, please go ahead.
Kenneth Usdin: Thanks. Good morning. If I could just go further on the commercial loan topic. As you start to see a little bit better demand aside from PPP across whether it's corporate, which you just talked about, commercial small business, what is your sense from the customer base of where it's potentially coming back the most and where the most holdbacks are because customers still have tons of excess liquidity to get through before they borrow?
Paul Donofrio: Well, look, if you look at Global Banking this quarter, middle market was driven by food products, commercial services, and suppliers and diversified wholesalers. Obviously, you've still got some industries that are affected by the pandemic, and so they really haven't started to recover yet. If you look at our commercial committed exposures.  By the way, they grew $30 billion quarter-over-quarter. We're now above the $1 trillion pre-pandemic level. But people are -- people are getting ready to borrow more. As Brian noted, the revolver utilization is still at historic lows, but we would expect that to move up as the economy improves.  And then in global markets as I mentioned, there were a lot of opportunities in mortgage warehouse lending, subscription facilities, asset-backed securitization. There's lots of opportunities there to put more balance sheet to work.
Kenneth Usdin: Thanks, Paul. And as a follow-up, on that point about the utility being low, but customers are readying themselves. I think as an industry we've been waiting for that for a couple of quarters now. What's that trigger point where you think we will start to see or it'll cause the line usage to actually start moving. It's been flattish for now a good -- a good few quarters as we ready for it.
Paul Donofrio: I think it's going to be inventory build across various industries.
Brian Moynihan: And you're seeing trade finance kick up.
Paul Donofrio: Yeah.
Brian Moynihan: The trade finance flows and the trade flows that we have have been kicking up and kicking up, which means at some point, people are building inventories to meet the customer demand as we talked.
Paul Donofrio: Some of that inventory building has been hampered by trucking and ocean liner and just, getting logistics. I think working out some kinks there, you could start to see it.
Kenneth Usdin: And do you have any line of sight as when you talk to your customers about any easing up of those supply chain constraints as we anticipate that?
Brian Moynihan: Getting better but still I've learned a lot more about ports than I ever thought I'd learn from my customers. But it's getting better. It's getting better, but it's going to take a while. I mean, you've already talked about the [ship] (ph) that we all talked about, we all know, but you're talking about basics and so it's getting better, but it really comes down to the operations of ports efficiently and the impact of the virus on employees in those ports and having people to work and unload the ships and things like that.  It's a pretty drilled out analysis they have, but the reality is, it's still constraining, but it's getting incrementally better, but it'll take another 6 months to kind of [Indiscernible]. At the end of the year, it will all be better. We'll see that.
Kenneth Usdin: Okay.
Paul Donofrio: As you think about loan growth, and you start modeling it, just remember with revolver utilization down close to 10%, that’s 45 billion up.
Brian Moynihan: From last year.
Paul Donofrio: Yeah. That's $45 billion alone. Just for us.
Kenneth Usdin: Right. Right. That's the opportunity set is just how quickly could that be a loaded spring? Right?
Paul Donofrio: Yeah.
Kenneth Usdin: Okay. Thank you very much.
Operator: Our next question is from Gerard Cassidy with RBC. Please go ahead.
Gerard Cassidy: Good morning, guys. How are you?
Paul Donofrio: Hi, Gerard? How are you?
Gerard Cassidy: Good. Paul, can you share with us, when I look at your average earning balance sheet in your supplement and you give us the yield of your average earning assets, and I think it declined to a 179 basis points.  Can you share with us, one -- what's the difference between what you're reporting and what you're putting on each quarter of new earning assets? Is there a 20-basis point difference, 10 - basis points difference? And if we assume rates don't change, when does that gap disappear? Because what you're putting on is equal to what you're actually earning.
Paul Donofrio: Yeah. Well, again, I'll talk about when we take our liquidity, which again, we've got a lot of excess liquidity, and we deploy that into a security. We're picking up -- well, in the second quarter, we picked up on a blended basis between mortgages and treasuries, which were roughly 50-50 purchases. We picked up about 170 basis points relative to cash.  But when you look at a security that's rolling off and being replaced, the rolling off it's 250, and ended up being replaced at 210. Now you could do the same math -- I did it with securities. You could do the same math with a loan. Pick your loan category, whether it's a card or a commercial loan or, it's going to just depend on the yields.
Gerard Cassidy: Very good. And coming back, I think you pointed out that the asset sensitivity of the balance sheet is still intact. A 100 basis point parallel shift is -- leads to about an $8 billion increase in net interest revenue.  Can you share with us what weighs more heavily on that number? Is it the short end of the curve going up? Is it 70% of that increase comes from the short end going up versus the long end?
Paul Donofrio: Correct. It's approximately 70% for the short end.
Gerard Cassidy: Very good, Okay. Appreciate it. Thank you.
Operator: And we'll go to Charles Peabody with Portales. Your line is open.
Charles Peabody: Yeah. I wanted to focus on your card operations for 2 reasons: 1, it's the area where there seems to be some visibility to loan growth, and 2, because it, I think, generates about 20% of your bottom line. So it's a significant mover.  If I'm using your line of business data correctly, cards as a lot of business, are on pace to generate somewhere between 1.8 billion a quarter. So somewhere between, well, close to 8 billion a year. Am I right in that assumption?
Brian Moynihan: If you're talking about interest income, yeah. If you look at the stuff on our Page 8, the 1.876 billion is the card interest income for the Second Quarter of '21. But that's –
Charles Peabody: I was using your -- the net income.
Brian Moynihan: The net income, we don't have a card segment - yeah, we don't report a card segment because it goes there, goes in the fee line, it goes in – and there is expense.
Charles Peabody: But if you look at your line of business reporting, you do have a consumer lending versus deposit. And the consumer lending is primarily cards, if I understand it correctly.
Brian Moynihan: No. It's got mortgage loans and vehicles and -- yeah, it's all lending products. So -- if you got a fifth question, we got Lee to –
Charles Peabody: Okay. The question is, if I assume 2019 kind of data in terms of margins, in terms of gross yield, and I assume high single-digit growth in loans in 2022, because of the substantial reserve release this year versus what probably would be less next year, I see a fairly substantial decline in your card business as a line of business, as a profit business.  And so I'm trying to get a sense, am I right that there's a delay? Even if the balances pick up, there's a delay to the improved profitability of that product line.
Brian Moynihan: Because there's less reserve - last year, it was hurt by reserve build. This year it’s benefitted by reserve releases. Then next year –
Charles Peabody: Right.
Brian Moynihan: -- that benefit comes out, that's the Company's [Indiscernible].
Charles Peabody: And not only that, but you have to reserve as you're putting on loans. And so you get less benefit day 1 versus day 100.
Paul Donofrio: Yeah. But remember we've got -- I think it was -- somebody asked an earlier question before. We’re reserved on loans now 200 basis points higher than where we were CECL day 1. As loans grow, you can eat into that reserve.
Charles Peabody: Right. And I estimated you probably have about 1 billion to 1.5 billion of excess reserves in your cards if you go back to day 1 CECL. And so you're going to bleed some of that back in over the second half of this year, which means you have maybe 0.5 billion to a billion next year.
Lee McEntire: Hey, Charlie, this is Lee. So why don't we take this offline and you and I can go through this afterwards. I see where you're headed.
Charles Peabody: Okay. I'll share my model with you Lee because I think it's an important hole that has to be filled next year.
Lee McEntire: Yes. What I'd also just add though, just while everybody is on the line, is just remember our charge-offs are running significantly lower. In addition -- forget about all the reserving against the balance.
Charles Peabody: Yeah, absolutely. Absolutely.
Lee McEntire: Yeah. Okay. But I'll get with you after this call.
Charles Peabody: All right. Thanks.
Operator: And it appears we have no further questions. I'll return the floor to Brian Moynihan for closing remarks.
Brian Moynihan: Thank you all for joining us. Once again, in the quarter, our customers are seeing good growth opportunities in the recovering economy. Deposits continue to grow, 80 billion in the quarter, loan balance is stabilized and grew on a period-end basis for the quarter. Even though we're coming in PPP runoff, asset quality is at 25-year percentage loss lows, not just dollar amount. The solid earnings continued this quarter.  We -- the important thing is we're seeing increased activity by our customer base, whether it's sales of all the different products, whether it's the reopening of the branches and more appointments that lead to sales, whether it's our face-to-face meetings or commercial businesses. So that holds us in good stead and helps answer the question about how NII grows in the second half of the year. And so -- and then on top of all that, this quarter is the first quarter in many that we've been able to -- forever that we've been able to go back and actually use excess capital based on our earnings power and our Board's discretion. You should expect us to get back in the share buyback game. Thank you, and we will return that capital to you, and we look forward to talk to you next quarter.
Operator: We'll conclude today's program. Thanks for your participation. You may now disconnect.